Operator: Good day and thank you for standing by. Welcome to the InterDigital Incorporated Third Quarter Earnings Call 2022. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised, that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Richard Lloyd. Please go ahead.
Richard Lloyd: Good morning to everyone and welcome to InterDigital's third quarter 2022 earnings conference call. I am Richard Lloyd, Communications Director and with me on today's call are Liren Chen, our President and CEO; and Rich Brezski, our CFO. Consistent with last quarter's call, we will offer some highlights about the quarter and the company and then open the call up to questions. Before we begin our remarks, I need to remind you that in this call we will make forward-looking statements regarding our current beliefs, plans, and expectations, which are not guarantees of future performance and are made only as of the date hereof. Forward-looking statements are subject to risks and uncertainties that could cause actual results and events to differ materially from results and events contemplated by such forward-looking statements. These risks and uncertainties include those described in the risk factors sections of our 2021 Annual Report and Form 10-K and on our SEC filings. In addition, today's presentation may contain references to non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our financial metrics tracker, which is available on the Investor Relations section of our website. With that taken care of, I will turn the call over to Liren.
Liren Chen: Thank you, Richard, and good morning everyone. In the third quarter, we once again demonstrated how our innovation is becoming more valuable in an increasingly connected world. We grew our innovation pipeline with a record quarter for new inventions, strengthened our recurring revenue base with 8% growth year-over-year. Increased recurring revenue in consumer electronics, IoT and automobile for the sixth consecutive quarter and entered into a new seven year license agreement with Apple that goes all the way to 2029. Our new deal with Apple is a huge validation of both the quality of our innovation and the strength of our patent portfolio. Under the term of the deal, InterDigital will recognize around $134 million annually for seven years, which represents a 15% increase over our previous Apple deal. Apple is one of our longest licensee dating back to before the first iPhone went on sale and I'm delighted that we are able to agree to a new mutually beneficial deal before our previous agreement came to an end. I would also add that Apple is a clear leader in the rollout of 5G, particularly in the premium tier of the smartphone market. So this deal serves as a resounding endorsement of the strength of our portfolio, which now consists of more than 10,000 cellular [indiscernible] patented assets, over 6,000 video related patents and a significant number of highly valuable implementation patents for 5G multi-mode handsets. The Apple license also came at a time of increasing momentum in our licensing programs. Over the last 18 months, we have signed new agreements and renewals with an aggregate value of more than $1.5 billion, including 16 new agreements and additional agreements executed to partner licensing platforms. While we still see plenty of growth in our core smartphone business, we have built considerable traction in the consumer electronics and IoT automobile markets. In the first three quarters of this year, we are seeing a 37% increase year-over-year in our CE, IoT, auto total revenue and a 60% year-over-year increase in recurring revenue in these markets. Together, those vertical are on track to deliver annual revenue of almost $100 million by the end of the year. This is excellent progress and underlines our belief that our innovation only become more critical across our growing number of industries. In the third quarter, automobile was particularly strong with several manufacturers, including Toyota, Honda and Nissan. All took a license to our portfolio of 3G and 4G patents through our licensing partner. These agreements means that more than 100 million connected vehicles are now licensed to our 3G and 4G technology with another 30 million to 40 million forecasted to be licensed in the next year. With the industry analyses projecting double-digit growth in connected cars through 2026 and 5G projected to ramp-up by much of the auto industry, we expect automobile to remain a sector with significant upside for the foreseeable future. I should emphasize, however, that we are only at the beginning of our licensing journey in the broader IoT market and I'm excited by the potential use cases that we are yet to be seen for 5G Innovation. First, I have answered that in that past, closing a licensing deal without litigation is always our preference. But we are -- but we remain committed to enforce our IP Right when necessary with $1.5 billion of new contract revenue, including Apple deal, reinforcing the strength of our balance sheet. We remain in excellent position to renew expiring smartphone contracts and license new sectors, while at the same time ensuring that we keep on making investments to grow our innovation footprint. Thanks to the outstanding effort of our engineers, this footprint continue to grow. Recently, we announced a new partnership with Phillips to work on more immersive video technology that will benefit our car driving experienced. We continue to see considerable upside from our strength in video technology, such as VVC and our work related to more immersive experience should ensure that our video innovation pipeline remains strong for years to come. Overall, our innovation engine is more robust than it has ever been. In Q3, we generated the highest number of new innovation in a quarter in our company's history. During the first three quarters of 2022, our total number of new patent family filed was about 10% higher than the whole year of 2021. In our innovation business we rely on our ability to invest in cutting-edge horizontal technologies, translate them into high quality patents and make our innovation available by licensing it to a growing universe of device manufacturers across multiple verticals. Our app agreement is yet another endorsement of how this cycle continue to deliver significant financial results and our success in consumer electronics and IoT autos demonstrates that exciting opportunity we have in device outside smartphones. We also see a greater number of opportunities among service providers including our innovation, which offers another area of growth. Overall, I'm delighted with how we continue to execute against our goals across the company. On the litigation front, we are still waiting for the decision from the UK High Court in our [indiscernible] filed against Lenovo and we remain confident in the strength of our case. Before I hand it over to Rich, I want to mention that this month at InterDigital we are celebrating our 50th anniversary and I want to offer my personal thanks to current and former employees, our shareholders, our licensees and partners and all of those who have supported our journey to become a leading innovator in connected technologies. With that, I'll let Rich give you more detail on our financial performance.
Richard Lloyd: Thanks, Liren. As Liren described, this past quarter we made two very important steps toward our stated goal of achieving $650 million or more in annual recurring revenue from device licensing. First, we renewed Apple to a seven year agreement valued at more than $930 million. Since we have no variable costs under this agreement, this is essentially 100% gross margin, making the Apple renewal the most valuable contract we have ever signed in our 50 year history. As Liren noted, beginning in Q4, we expect to recognize about $134 million a year under this renewal, which represents a 15% increase over the average annual recurring revenue from our prior agreement with Apple. Second, we reported our sixth consecutive quarter of growth in recurring revenue from the consumer electronics and IoT automotive markets. During that time, we have signed license agreements with VIZIO, Sony and Amazon among others and through our participation in an automotive licensing platform we now have approximately 80% of the connected 3G, 4G car market under license. Our aggregate annual recurring revenue for consumer electronics and IoT auto has grown approximately 140% from $23 million in first quarter 2021 to over $54 million in the third quarter of this year. When you include catch-up payments from past infringement, we have reported approximately $75 million of total revenue from these markets in just the last nine months. We have updated our revenue tables in our 10-Q press release and financial metrics. You can clearly breakout recurring revenue from each of these two important vectors for growth in device licensing. Moving on to expenses, our operating expenses came in lower than our expectations, driven by our final tallies for litigation and also aided by the strong US dollar. Overall, the combination of our revenue growth and cost management resulted in almost $190 million of adjusted EBITDA through nine months at a healthy 56% adjusted EBITDA margin. With continued progress toward our annual recurring revenue goal from device licensing of $650 million or more and continued cost management, we believe we can increase our adjusted EBITDA margin to about 60% or more, achieving both our revenue and margin target would equate to roughly $400 million of adjusted EBITDA on an annual basis. We believe adjusted EBITDA is a great metric for us as we essentially have a subscription business. We tend to sign long-term contracts, oftentimes five years or more and we tend to recognize revenue smoothly over the terms of those contracts. Adjusted EBITDA adjust for the timing of payments and better depicts the ongoing cash generation power of the business. For example, you can see our accounts receivable increased to over $400 million at the end of Q3 due to the partly frontloaded payment structure of one of our recent agreements. We expect the collection of this receivable in the fourth quarter will drive record free cash flows in the quarter, but will be moderated in our fourth quarter adjusted EBITDA. With that, I'll turn it back to Richard.
Richard Lloyd: Thank you, Rich. And thank you Liren. Operator, now open it up for questions.
Operator: Good day and thank you for standing by. At this time, we'll conduct the question-and-answer session. [Operator Instructions] Please stand by while we compile the Q&A roster.
Richard Lloyd: Thank you. We're now ready for the first question.
Operator: Our first question comes from the line of Scott Searle from ROTH Capital Partners. Your line is now open.
Scott Searle: Hey, good morning. Thanks for taking the questions. Hey, Good morning, Liren. Just to quickly dive in, historically you’ve reported the revenue figures a little bit differently. I was wondering if you could recalibrate us on that front in terms of fixed fee in the third quarter. And also trying to get my hands around the operating expense structure. I know this is a particularly active time period from a legal and litigation standpoint with Apple just concluded potentially Samsung, what you have going on with Chinese OEMs and Lenovo. I'm wondering if you could help us understand what a more normalized kind of operating expense structure would look like. I know you gave guidance for the fourth quarter. But as we get out into 2023, how should we be thinking about what that structure looks like. And then I had a couple of follow up questions.
Richard Brezski: Hey, Scott. I'll take those questions. Starting with the first part on the way that we're reporting revenue, we've just been talking about for some time and the breakout between fixed and variable just doesn't seem as useful. We still provide that information in the metrics that you can access on our Investor Relations section of our website. So it's available to folks, but for a long time we've been around 90% or a little bit more of fixed revenue and we see just a lot of growth outside of the smartphones in the consumer electronics IoT auto sector. And I think we mentioned, it's our sixth consecutive quarter of growth there, 140% compared to first quarter of 2021. And we think it's important to show that we're growing both within smartphones as well in these other areas.
Richard Brezski: The second part of the question on OpEx. I think the important thing to look at there and you can again see this in our financial metrics is looking at our overall operating expense. We did note that with success this quarter, we had some adjustments in some of our performance compensation accruals. So it's a little bit elevated. And we've guided for that to come back down in Q4 closer to the levels we originally gotten for Q3. And that does include a healthy amount of litigation, you can see right on our financial metrics, where we've been running there at about $11 million in Q3. So I think excluding litigation without putting too finer point on it, we're generally in the zip code. We're going to continue to invest in the business. And then the bigger more volatile thing is where litigation goes as we continue to operate in our litigations with Lenovo and Oppo and then we still have important renewals coming up.
Scott Searle: Got you. That's helpful. Liren, if I could jump in on the IoT in auto segment, it’s been having some success now, starting to see some momentum building behind that. I think you mentioned that 80% of connected vehicles are now under the Avanti licensing partnership that's around 3G and 4G. I'm wondering how you're thinking about 5G? Is that going to be contributed to a larger industry patent pool? Are you guys going to it alone? How do you approach that market going forward?
Richard Lloyd: Yes. Hey, Scott. Good morning. Yes, you're absolutely correct, we're seeing a lot of momentum in the IoT, which includes the overall auto sector here and you also said. I'll start with the 3G, 4G coverage under the licensing partnership with Avanti. For 5G, we are actually ready for either approach, we are absolutely ready for doing that licensing. But we see a lot of incremental value of 5G enabled connected cars on top of the 3G, 4G. But in the meantime, we are also opening for exploration with potential partners [indiscernible] those areas. So regarding with either approach, but as I said in my prepared material, we see a lot of growth in this space, because the connected car over all will grew in terms of market adoption and 5G just on top of it regarding the value added.
Scott Searle: Okay. And lastly if I could, just on the video front, you started to talk a little bit about streaming opportunities. I'm wondering if you could flush that out a little bit, what's your latest thoughts are in terms of the opportunity to monetize your video patents into other [indiscernible] non-traditional areas? And maybe throw on top of that as well. Look, I know you've got a lot on your plate right now, but inorganic opportunities, are they starting to crop up for you as well or there is enough going on in terms of driving or growing recurring revenue stream in IoT, CE and auto that's really not part of the near term focus. Thanks.
Richard Brezski: So for the video space, through our InterDigital development as well as our acquisition with the Technicolor. We actually have one of the strongest R&D pipeline, as well as one of the strongest video pattern portfolio in the industry. Our main focus has been and will continue to be monetizing that device licensing, which we are projecting at $650 million of near to mid-term opportunity here. But I think it’s very clearly shown in the industry, our technology with our patent portfolio is very much relevant for the service delivery by a number of very successful service providers in the industry. It's a large industry, it’s a green industry. So we have done a lot of work designing our licensing program in that space. We are optimistic about the opportunity, but it will take time to grow. Regarding the acquisition in inorganic growth with organic growth. As I've said earlier, we have an incredible strong innovation engine that frankly creating innovation faster than we ever have been, that’s demonstrate in our latest quarter patent filings. We are happy with where we are, but we always look at third party opportunities if there is any portfolio, any business opportunity available, we’ll definitely look at all those.
Scott Searle: Great. Thank you.
Richard Brezski: Thanks, Scott.
Operator: Thank you. I’ll ready up our next question.
Richard Lloyd: Thanks, operator. We can take the second question now.
Operator: Here we go. I was just getting them ready in the queue. Thank you, Richard. Thank you. Our next question comes from the line of Anja Soderstrom from Sidoti. Your line is now open.
Anja Soderstrom: Hi, and thank you for taking my questions. So I just want to reconfirm that for the consumer electronics, you have been going after the smaller concept and we should see that growth maybe accelerate as you are targeting the larger opportunities within that? Or has should we think about that growth?
Richard Brezski: Yes. Certainly, when you think about consumer electronics, which is part of that line consumer electronics IoT and auto. The biggest opportunity there is televisions. And then within televisions the number one and number two players are Samsung and LG, respectively, are on relation. So there's still a lot of room for growth there across a lot of different segments, but especially television and especially within the top sliders in the market.
Anja Soderstrom: Okay. Thank you. And for Samsung with the renewal there, does that discussions include the CE or is that running parallel to the smartphone conversation?
Liren Chen: Yeah. Hey, Anja, This is Liren. So far Samsung negotiation, we have been negotiating mobile opportunity renewal, as well as consumer electronics primarily TV side in parallel. This is primarily due to our CE program. It's a partnership with Sony, so those negotiation historically has been down separately.
Anja Soderstrom: Okay. Got it. And then for the Apple renewal, and congratulations on that. Did that -- was that just for the smartphones or is that also for the other consumer electronics oriented products?
Liren Chen: Yes. Anja, this is Liren. So due to confidentiality, we won't be able to get into the scoop of the license with Apple beyond what we have already disclosed in the 8-K filing. But the right way to think about relationships with Apple is, it’s a long term relationship that frankly both parties are very happy with the overall results that we feel are mutually beneficial.
Anja Soderstrom: Okay. Thank you. And just, Rich, if you could talk about capital allocation priorities in terms of buybacks and dividends and so forth?
Richard Brezski: Yes, Anja, I’m happy to. I think the first thing I'll note is, as I alluded to on the prepared remarks, we do expect a large payment coming in Q4. So, it's always a big topic for us and will remain so. But our priorities remain to keep a strong balance sheet with the large payment coming in, it will only get stronger and with Apple now renewed it's at least comparatively less of necessity, but still a priority for us to maintain a strong balance sheet. And then we want to make sure we can invest in organic opportunities. Liren talked about the growth that we have in R&D and we've demonstrated the success in deploying that in the market and getting paid for it. And to the extent that -- we're choosing, but to the extent there are inorganic opportunities, we'll consider them as well. And then finally, we want to make sure returning capital to shareholders as appropriate. And we always feel like we do a good job of that over any appropriately length of time.
Anja Soderstrom: Okay. Thank you. That was all for me.
Richard Brezski: Great. Thanks, Anja.
Operator: Yes. Thank you, Anja. Our next question comes from the line of Tal Liani. Your line is now open.
Unidentified Participant: Hey, can you hear me?
Operator: We can. Your line is now open.
Unidentified Participant: Awesome. Hey, this is John from Bank of America. Thanks, guys. Apologies in advance, I've been on a couple of earning calls this morning. But just in general, obviously, we heard from one of your licensing peers last night on worsening smartphone market demand and general channel inventories. Obviously, your situation is a little different, not being on the volume side of licensing, but just kind of curious how that really impacts you guys and what's the, I guess, way to navigate that if there is a need for that for you?
Liren Chen: Yes. Hey, John, good morning. This is Liren. So regarding our license agreement, as Rich just commented here, 80% or 90% of our license agreement comes from fixed fee agreement. So in that context here, we are actually better situated than most in our industry to be able to weather certain amount of downward storms in this area. Having said that though, there's still -- we are not completely immune when we have renegotiations for renewals. And so, we are obviously very carefully managing those dynamics. But it's worthwhile mentioning a few things here. Why is, when we negotiated this agreement those are long term agreement, as Rich commented earlier, they are five years or longer. So we are really looking at long term projection for volume over this period of time. So we're hoping this will ride out the bumps and valleys, if you would, in the volume. Second thing, which is more applicable to us than some of our peers is, we currently -- as we discussed in prior calls, we have roughly 55% of the market covered. So we are working really hard to get to about 80% to 85% by signing up some unlicensed customers that are using our technology. So as we expand our share of [indiscernible] growth in those space. And lastly, as we -- starting this quarter, we are separating our consumer electronics, IOT and auto industry opportunity and we have done a really good job growing that segment in the last year and a half. So we feel with all those parameters balancing together, we have a really, really good licensing program here.
Unidentified Participant: Got it, okay. That's helpful. On the -- I guess, because you mentioned the 55% penetration. I guess, going after new deals, obviously, the current environment is not -- hopefully not a long term consideration. But has that -- have you seen that impacting any conversations on that end in terms of maybe royalty rates or I guess, just general sentiment on signing new deals at this point?
Richard Brezski: So, I mean, signing new deals is always challenging, but we have a really long track record in the industry to negotiating most of the deals [indiscernible] negotiation. In particular though, our largest opportunity that’s on licensed currently is really Oppo Vivo and Lenovo which combined has roughly 25% of the market share here. So as we all are aware, Opel and Lenovo are posting litigation. So in that context here, especially for Lenovo, we are just waiting for the UK judge to issue fair decision which could come anytime soon. So in that context here, we don't see frankly near term market up and down impacting those decisions.
Unidentified Participant: Got it. Okay. That makes a lot of sense. And then separately on the recent collaboration deal with Phillips on the Kodak side. Can you just discuss any potential impacts, I guess, on bottom line and kind of just what you see coming from that deal in terms of flow through to the P&L?
Liren Chen: Yes. So our collaboration with Phillips is really a R&D collaboration where we are working together on the multimedia user experience on immersive user experience, which is XR driven. That's extremely virtual reality user experience. So it's frankly still a foundational research we are doing. It's leveraging the strengths we already have in some of the crew deck area in terms of VVC and others. Frankly, it's still early stage R&D and then the XR market adoption is still relatively low volume, so we do not see any immediate P&L impact.
Unidentified Participant: Got it. Okay. That's all for me. Thanks, guys.
Liren Chen: Thank you.
Operator: Yes. Thank you. [Operator Instructions] At this time, I'd like to turn it back to the speakers for any further comments.
Richard Brezski: Thank you, operator. And I'll hand you back to Liren for a final message.
Liren Chen: Before we sign off, I'd just like to thank our employees and our shareholders for their ongoing support. I also hope all of you enjoyed the upcoming holiday time and the rest of the year.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.